Operator: Good morning, everyone, and welcome to BGSF Inc. Fiscal 2022 Fourth Quarter and Full Year Financial Results Conference Call. [Operator Instructions] As a reminder, this conference call is being recorded. I would now like to turn you over to Sandy Martin, Three Part Advisors. Please go ahead.
Sandy Martin: Thank you. Good morning and welcome to the BGSF 2022 fourth quarter and full year earnings conference call. With me on the call today are Beth Garvey, Chair, President and Chief Executive Officer; and Dan Hollenbach, Chief Financial Officer. After our prepared remarks, there will be a Q&A session. As noted, today's call is being webcast live. A replay will be available later today and also archived on the company's Investor Relations page. Today's discussion will include forward-looking statements, which are based on certain assumptions made by BGSF under the safe harbor provisions of the Private Securities Litigation Reform Act of 1995. Actual results may differ materially from those indicated by the forward-looking statements because of various risks and uncertainties, including those listed in the company's filings with the securities and exchange commission. Management's statements are made as of today, March 9, 2023, and the company assumes no obligation to update these statements publicly, even if new information becomes available in the future.  During the call, management will also reference certain non-GAAP financial measures, which can be useful in evaluating the company's operations related to the financial condition and results. These non-GAAP measures are intended to supplement GAAP financial information and should not be considered a substitute. Reconciliations of GAAP to non-GAAP measures are provided in today's earnings press release. I'll now turn the call over to Beth Garvey. Beth?
Beth Garvey: Thank you, Sandy, and thank you all for joining us today for our year-end 2022 earnings discussion. I am very pleased to report record revenues in 2022 of 298 million, a strong 24.8% increase over 2021 and full year adjusted EBITDA and adjusted EPS were at 45% and 47% respectively, over the prior year period.  As a reminder, we divested our light industrial segment during the first quarter of 2022. We believe this more fully aligned with our core strategy of building higher margin work and consulting managed service and Workforce Solutions. Also, during 2022, we successfully launched the company's integrated IP technology platform, which we know is foundational to our plans to create significant long-term value for our business. I will speak more about this in a few moments.  We've had a very busy and productive year. And I would like to recognize and thank all of our BGSF team members and their commitment and diligent last year. Our teams work together with purpose, persistence, and perseverance to complete our strategic directives in 2022, and they deserve the credit for operational and financial successes.  While I am discussing our teams, I also want to share that we have continued to build on a strong bench, our culture and our talent development. As announced earlier this week, we are making a CFO transition later this month, and I want to welcome John Barnett as our incoming Chief Financial Officer. John brings strong finance leadership capabilities with deep experience working in public and private companies. And his leadership style fits well with our BGSF culture. Dan will be working with John and transitioning to CFO duties. And I look forward to having John during this call in a couple of months to discuss our Q1 results. I also want to take a moment to thank Dan for his tremendous contributions to our organization. Everyone in our organization is grateful to him for his dedicated leadership and CFO role in 2015. Additionally, we have continued to strengthen our leadership in too many ways. In November of 2022, we added Melissa Phillips as our Chief Digital Officer. Melissa is a strong leader in sales and digital delivery, and she is responsible for lead generation enablement on BGSF sales and recruiting technical platform. Tech enabled lead generation is a valuable component of our growth initiatives for 2023 and beyond. Early in 2023, we moved Chris Loope into their important role a Chief Strategy Officer. Chris is a visionary leader in business transformation and growth, and he has been responsible for champion in BGSF IT innovation platform as we scaled our businesses. Chris is providing project management leadership for company's strategic initiatives and is also defining the structure and process for important M&A work. We also promoted Nycole Rosen to our position of Chief Information Officer. Nycole joined our company in 2019, and was instrumental in the success of our IT roadmap journey. Today, we believe that our current IT tech stack, as well as our digital tools and resources are in distinct competitive advantages for our company. The successful implementation of our strategic initiatives three years ago, has positioned us for growth and value creation in 2023 and beyond. Before I turn the call over Dan, I want to cover a couple of strategic initiatives that we're working on. During the second quarter we plan to rebrand all of our businesses to be BGSF. We know that the power of maximizing our reputation by going to market as BGSF gives us traction on cross-selling efforts. And we have seen evidence of this on the professional side during a soft launch of our renaming in 2022. Dan and I will provide more details on that in a few minutes. Also, I want to comment on current solutions acquisition that we closed in December 2022. We have known the horn leadership team for many years, and this was a natural fit for our business. With annual revenues of 30 million, this company was a sizable acquisition for us, which adds to top-line starting in 2023. As we previously discussed horn as a good strategic fit, because it builds on high value consulting and managed service businesses in the finance and accounting sector. We envision expanded market share in terms of geographic footprint, as well as new client partners and significant cross-sell prospects. This business has also demonstrated a track record of double-digit growth rates. Excellent EBITDA returns and industry leading margins. Financially, this transaction was immediately accretive to our business, and it's also benefiting our BGSF team members and our customers. Now we'll turn the call over to Dan after he covers our financial results for the quarter in a year. I will come back and discuss our business outlook for 2023 and mission critical initiatives that we're working on. Dan?
Dan Hollenbach: Thank you, Beth and good morning, everyone. This is my final earnings call as the CFO of BGSF. Some might just for joy not having to do these calls anymore. Hardly it is with deeply mixed emotions that I will be leaving my post as CFO this great organization. It is truly been an honor and privilege to serve in this role since May of 2015. And I look forward to helping the transition with John and the team as the company starts a new chapter in its strategic growth plan. Today I'll be discussing results based on earnings released filed last night. Our annual report on form 10-K will be found next Wednesday. I will also be using the term Property Management real estate to describe that segment. As Beth mentioned, we sold our line industrial segment in early 2022. And our financial results are discussed as continuing operations and except where noted, exclude discontinued operations for this year and last year. And now for the numbers.  Fourth quarter revenues were up 14.2% to 77.3 million. By segments, property management grew 16.6% and professional increased 8.9 on an organic basis. Horn Solutions contributed 1.4 million in revenue in December for three weeks. Professional wage rates increased 17% while property management wage rates increased 10% Q-o-Q and permanent placement revenues remained consistent. As we expected our Q4 revenues returned to more normalized patterns in 2022 and declined sequentially coming off a strong COVID recovery quarter a year ago. Between Q3 and Q4 professional was essentially flat due to more ends in December this year versus last year, and the department of the managed services projects in the late Q1 and Q2 of '23.  Property management was down 4% as expected. We continue to see solid demand and projects related to cloud migration, ERP selection and implementation as well as customizations. Fourth quarter gross profit dollars increased by 15.5% compared to the prior year quarter, to 27.1 million. Professionals was up 7.6% on an organic basis, and property management up over 17%. As a percentage of revenue, total gross profit margin increased by 40 basis points to a strong 35%.  Compared to a year ago, quarter selling general administrative expenses were 23.2 million, compared to 16.5 million last year. The increase was driven by $4 million of annualized headcount costs for new roles, primarily in the second half of the year associated with strategic investments for internal talent to support known projects and fuel future growth plans. The additions for property management relate to the return to the commercial business post COVID, as well as planned growth in multifamily this year. In addition, the fourth quarter of '21 included a $2 million CARES Act credit. Finally recorded M&A deal cost of $265,000 and bonus accruals and have a year-end reserves of approximately $500,000 in the fourth quarter of '22 over '21.  Fourth quarter net income from continuing operations was 1.4 million or $0.14 per diluted share compared with net income of 4.3 million or $0.41 per diluted share a year ago, which included a net cares credit of 1.6 million or $0.15 per diluted share. Adjusted EBITDA for Q4 was 4.3 million or 5.6% of revenues, compared to 5.1 million or 7.5% of revenues in '21. Although revenues and gross profit margins grew year-over-year, as mentioned, we invested in people to drive growth in 2023, which impacted our actual and adjusted EBITDA margins in Q4 '22.  Our effective Q4 tax rate was 33% for '22, compared with 24.3% in last year's fourth quarter. As Beth mentioned, for the year we reported record 22 revenues of 298.4 million up 24.8%. While gross profit was 103.5 million up 27.9%. Property management revenues grew 31.6% but professional up 19.7% organically. Our managed services division led by our momentum solutions acquisition in 2021 doubled in sizing. Permanent placement revenues were up 13.5% year over year. Our gross profit percentage increased 80 basis points to 34.7% in 2022. Property management group 36.4% with professional at 19.8% organically. SG&A a cost as a percentage of sales grew 60 basis points this year, compared with last year, a detail of our '22 versus '21 SG&A and a cost is included in the MD&A section of our annual report on form 10-K. Net income from continuing operations was 11.3 million for $1.07 per diluted share, compared to 10.5 million for $1 per diluted share for the '21 period. Benefiting 21 were two things, a $1.9 million net gain on contingent consideration, and a $1.7 million cares credit. Adjusted EBITDA from continuing operations totaled 21.7 million, or 7.3% of revenue, compared to 15 million, or 6.3% of revenue last year. Finally, the global year effective tax rate from continuing operations was 23.1% for '22, compared to 20.1% a year ago. Regarding the company's financial position, we continue to maintain a strong liquidity position in balance sheet. At the end of Q4 accounts receivables grew to 66 point 3 million driven by our growth and additional foreign solutions. While day sales outstanding remain consistent with the end of Q3 and our working capital ratio straight them to 2.7 for 1.95 last year. Based on our strong EBITDA during 22, we continue to invest in our IP roadmap and return capital to our shareholders to the dividend program. Our banking leverage ratio of funded debt to trailing 12 months pro forma adjusted EBITDA moved to 2.4 times due to the foreign solutions acquisition. As Beth mentioned, the company's board of directors recently approved management's plan to rebrand all of our businesses to BGSF, which eliminates the various trade names currently in use. It is management's intent to complete this rebranding by the end of Q2. The decision to rebrand create an indication of impairment of the trade name, assets and assets the company will record right off of approximately 22.5 million, its basis in the trade names in 2023. As the trade names were classified as indefinite lived intangible assets, the company has not been advertising the carrying values. There is no cash impact or any adjustments to amortization expense related to the suspected impairment charge that will provide more details in her closing remarks. As we've said previously, we believe our prudent financial management and capital allocation strategy are sufficient to provide ample flexibility to fund operations, invest for future growth and return value to shareholders through cash dividends and stock appreciation. I will now turn the call back to Beth.
Beth Garvey: Thank you, Dan. Fiscal 2022 was a transformational year for our company. Our internal goals and objectives set in motion in 2019 are successfully implemented. And now we have transitioned to enhancements and continuous improvements on our IT roadmap.  In addition, our strategic M&A work, including our divestiture in staff, completed in 2022, has allowed our company to grow in more high value high margin businesses like consulting and managed services on a professional side. Finally, we continue to expand our multifamily solutions into six North American cities during 2022 and added our first Canadian office in Toronto. Like in 2022, we began to experience advancement in our commercial real estate or property management solutions, which we knew would be slow to recover after the pandemic. Now, I would like to comment about our IT roadmap initiative a bit further. Our technology modernization project that went live last year was built to scale the BGSF growth plans to support $1 billion revenue company. We have identified efficiencies that allow us to grow faster, while reducing overall costs and risk in cyber and other regulatory and ESG related ways. We're also tracking ROI metrics this year against our IT roadmap investment, and are beginning to capture both hard dollar and soft dollar cost savings. For example, we are saving an annual software cost of approximately $350,000 and believe that we will capture north of 5% gross profit benefit from our IP modernization efforts. Of the next two years, we have set aggressive goals in accordance with our new strategic growth plan. We believe that successful implementation of these initiatives are important type stakes to reach the next level of growth and to capture meaningful share and highly competitive marketplace. Set another way, these goals and objectives are foundational for our long-term sustainable growth and value creation. Today, I plan to define the score initiatives and I will continue to update you as your progress. First, process improvement. Before IT roadmap we believe there are processes were either very good or adequate. Based on the work we did during our IT systems upgrade, we learned that there are much better and more efficient ways to do many things. We want to institutionalize best practices and processes in many areas.  Secondly, shared services. An efficient and effective shared service platform will allow us to remove back-office tasks and responsibilities from our recruiting and sales efforts, reduce risk and realize significant cost synergies along the way. Our primary target with a shared service platform is efficiently scaled the business and eliminate non-revenue producing tasks from our two segments. Third, mergers and acquisitions and organic growth. Although we have reported strong growth over the past several years, we know that the comparisons are comps will continue to get tougher. We have a well-defined plan for both organic and acquisition growth, and now must execute on those plans. We plan to open new markets in real estate segment and leverage technology to create territory mapping to expand and grab more market share in 2023.  We are encouraged by the growth prospects of both of our segments. In our real estate and property management segment we see pent up demand in multifamily as well as the return to work trans and commercial. For professional consulting work continues to be very specialized, which we believe are based on long-term secular growth trends and IT transformation, finance and accounting and cybersecurity. We are well positioned in all these areas. Fourth branding and BGSF. As I alluded to earlier, the power of consolidating our name, offices, and more importantly our voice in the marketplace will allow us to gain traction in the market. Eliminating the confusion of going to market in multiple names will benefit everyone, our clients, our consultants and our skill palette. This is foundational to our business. And we believe that our BGSF brand power and brand recognition is important especially as we expand in high value professional consulting and managed services. Also, our real estate segment for multifamily and commercial are very much tied to the confidence that our brand brings regarding skilled talent and augmented workforces. This is a simple yet powerful pivot for us. And we liked it does not cost as much to implement across our segments. In 2023, we are poised for another strong year at BGSF and with unemployment numbers at a 50 year low and 3.5% and college degree unemployment numbers even lower at just 1.9%. We know that finding the right labor and talent will benefit from long-term secular growth trends. Finding people and then training and deploying the right talent is a key differentiator for us. Going to close today with some additional commentary on our strategy on M&A outlook. Although valuations have improved, we continue to be very selective. As we have stated in the past, we want to add businesses that improve our margins and/or solve a problem for our customers. One of the areas we continue to hear from our customers is the need for a near shore or offshore talent. This is another potential opportunity for us. However, are defined in the nine criteria remains unchanged as we look for good DNA fit with our business in North American and/or abroad. We require strong fit for our customers and for our culture. And we want good valuations with high margin businesses. With that, we will now open the column to your questions. Operator?
Operator: [Operator Instructions] So our first question comes from the line of Howard Halpern of Taglich Brothers.
Howard Halpern : The real estate and property management, how many offices did you end the year in? And what kind of pace of openings or splits do you anticipate going forward?
Beth Garvey: We have a total of 64 markets right now that are active in real estate. And we are targeting six new markets next year. And we have four markets that we're going to be doing the territory mapping in.
Howard Halpern : in terms of what you've done to restructure a little bit in the fourth quarter that $4 million? Is that going to be the new what the SG&A? Is that the new baseline going forward that 23 million and then work off that number for modeling purposes?
Beth Garvey: Well, I think in that number was about $765,000, part of the transactional fees. Howard, which depending on M&A deals may continue or not, but depends on what we have going in the pipeline. And then as mentioned, there was about $500,000 of catch-up stuff that you just normally catch in the fourth quarter. So probably just out that 23 million might be your base.
Howard Halpern : And that will cover one operation to you're going to be able to absorb all that in there with that.
Beth Garvey: Well, I apologize for that. That only has three weeks, when we chat this afternoon. I can give you an adjusted number on that so.
Howard Halpern : In terms of the rebranding is that what might be incremental costs be at least in the first half of the year? Are you saying, is there a cost of changing the name out? Is there any? Is it just going to be the right time that we're going to see?
Beth Garvey: Yes, I believe of what I've heard and we've had discussions, there's very minimal cost in terms of changing this. We already own the name or we're using the BGSF a lot. So that's exactly that correct.
Dan Hollenbach: And there's only a few things we'll be changing. We'll have to change some things when it comes to trade shows and some of our marketing material that we get pushed out, but it'll be minimal, and we budgeted for that.
Howard Halpern: And in terms of the cross-sell opportunities with Horn and what's going on internally, what are you seeing, what are your people seeing in terms of the opportunities that are out there, you can try that further?
Beth Garvey: I think the team was super excited about Horn. Actually, both teams were excited, when we went down to visit the Horn team, it was probably one of our most energetic meetings with a new company we've ever acquired. So they see the benefit of the cross-sell initiatives, and they and they actually are a lot of members of our team knew the team's over at Horn. So the energies in synergy, just in getting to know each other was immediate. And so I think that everyone is super excited, and they've already started cross selling a lot and introducing each other to each other's clients.
Howard Halpern: And just one last one more what you see in the landscape out there is are you seeing more talent, are you drawing more talent in and versus the projects that are out there? I guess what I'm getting at is there are more. Are you seeing a more balanced market out there or is it still tilted one way or the other?
Beth Garvey: It's still tilted. So, it's just an interesting market out there right now. There's still a drive for people and there's, it hadn't led up much, even though there's a bunch of layoffs, it's not in where we play, so we're not getting a benefit from that side.
Operator: Our next question comes from the line of Jeff Martin of ROTH Capital. 
Jeff Martin: Dan, congratulations on your retirement. I wish you well. Hope you have a lot of fun and happy memories ahead of you. I guess just piggybacking off the SG&A question. Is it fair to look at this as a 14-week quarter therefore you back out 114 does that 23 million, which is more like 23.5 million kind of run rate. And then you've got a couple items that you mentioned that Q1 used to be 0.5 million lower for the year and catch up on comp and then subtract transaction fee? So we're actually closer probably two to 20 million on a run rate basis, at least for Q1. Is that fair? 
Dan Hollenbach: Yes, that's right. I got to chat about that later on, we have our call, if you don't mind. 
Jeff Martin: Okay. And then Beth maybe could speak to the longer-term opportunity strategically with Horn, I know they bring expanded capabilities, particularly on the consulting side, but maybe speak to, kind of the end market you're most excited about. And then also the transition to geographic expansion and how that plays out over what timeframe?
Beth Garvey: Okay. Well, the one thing about horn is you're located in Austin, Houston and Dallas, and the ability to be able to expand them in the other markets that we operate in will be very beneficial for us. The thing that we're most excited about is they have such a strong finance and accounting group. And it's high end consulting, what it really does is it completes another piece of our puzzle with our customers. So when we go in, and we help a customer, pick what software they want, then we go in and help them implement the software that they get, then we help customize the software and the horn solutions, we get to help them come in and do the reporting that comes out of the software. So it really does make the circle complete in regards to what are able to do with a customer to keep them at BGSF client versus having to go somewhere else to get those resources. And that's the one thing that we're most excited about, because we were strong and in F&A, but the horn is three times larger than what we had in place already. So very good for us.
Jeff Martin: And then on the commercial side of real estate, maybe walk us through the transition '22, if you saw pent up demand coming trying to get a sense, because they had multifamily or real estate in general had a very strong year, looks like that was driven primarily by multifamily. But maybe give us give us a look at, if that pent up demand on the commercial side is unwinding?
Beth Garvey: It is still in play right now. I know that there's still the return to work out there. In the fourth quarter, third and fourth quarter, we started to see more companies come back to work which gave us an opportunity. We had consolidated that team within our multifamily group during COVID. As that started to break free, and we started seeing people go back into the offices, we broke it back out. And once we did that, we put a manager over that entire group, and then started back filling positions so that we could get back into the market earliest those things started to break  So I think that as we moved into 2023, we are still seeing some cities across the U.S. that are ready to open up and get back to normal and some that still aren't. And so it's the one thing about real estate we have learned is there's no wide sweep of what's going on, it's just pockets, some pockets are doing better than others and some pockets are growing and some pockets are still holding on to deciding whether or not people are going to go back to the office. So we just have to be very aware of how we sell in those markets to be able to stay on top of it and going ahead and breaking that group out. And allowing them to start getting them market early will be helpful for us in this year.
Jeff Martin: And then last question on the margin front here. You've been very disciplined over the years in terms of expanding gross margins. That's typically translated into very good EBITDA margins. This curious with the growth investments that you made in the back half of '22. How should we think about EBITDA margins in 2023, relative to the last couple of years? And is it going to take a little bit of time to digest those investments and see the longer term benefit on the EBITDA margin side?
Dan Hollenbach: We do see some leveraging the cost that we spent over the last three years going into '23 and '24. Jeff so we anticipate better even a return as we move forward as we leverage the people that we have and grow faster than that SG&A cost and leverage the cost that we put into the IT roadmap. So I take your pacific percent, but we do expect that to expand. Yes. 
Operator: Our next question comes from the line of Michael Taglich of Taglich Brothers.
Michael Taglich: I'm actually surprised at the explosion SG&A. I mean, was this the plan to spend to have this kind of level of expenses?
Beth Garvey: Well, I do think Mike that we had to, when we kind of paused our hiring when we went live on the systems at the end of June. And so in order for us to be able to go through and hit our numbers for 2023, we needed to be able to go ahead and get positions in place to be profitable or not profitable, but to drive the sales and growth for '23. So it was a decision that was made to go ahead and move things forward, or move things back so that we could be advanced in the forward. So I think that, yes, it was part of the plan to answer in regards to the hiring part of it.
Michael Taglich: How much of it was…
Dan Hollenbach: I'm sorry. Michael, we did have the wrap up of the IP roadmap this year as well. So that cost was anticipated.
Michael Taglich: The fourth quarter was a dramatic increase in SG&A versus the three quarters before that. I mean, it's great sales are up and all that, obviously, earnings are down, which is not the plan. So it was part of plan or not? I'm surprised that we didn't bring more dirt bottom line. So I want to spend some time understanding that better.
Dan Hollenbach: Well, we did mention that in the managed services division, we brought to us by momentum. We had some delays and projects that was anticipated in November and December. Their numbers were lower than expected. And then there were ends on the IT side higher than there were last year. So we had, again, we were sort of anticipating this year to be like last year and we had more ins than we did last year that that affected November and December numbers. We had some adjustments in terms of year-end accruals, we had some transaction fees related to Horn. 
Michael Taglich: So if I'm running a budget, should I assume it's going to be SG&A 26.8 million plus on inflation factor, your annualized in the fourth quarter?
Dan Hollenbach: No.
Michael Taglich: So which I assume it should be I mean you guys have a budget for this coming year. I'm really surprised. 
Dan Hollenbach: We prefer not to give those numbers out on the earnings call. Happy to have a follow-up call with you Michael. 
Michael Taglich: Would you go into detail about the catch-up stuff? Was that under accruals or what is that as expenses you weren't are surprised expenses that just happened in Q4?
Dan Hollenbach: We had to catch up on bonus plans, where we had some kickers that came in as people reach certain levels in their bonus plan that we picked up in Q4 versus picking up earlier in the year. We had some other expenses that came…
Michael Taglich: How much and that add up to?
Dan Hollenbach: That was about 200, just north of $200,000. And then we had just under $300,000, on some other accruals that we need to do adjust. And then we had that transaction fees related to horn.
Michael Taglich: And you could put those, you couldn't capitalize those transaction fees into the transaction?
Dan Hollenbach: Transaction fees are not capitalizable anymore so. No. It should be under on the gap, but not in the new GAAP.
Michael Taglich: I love to see some top-line growth and gross margin growth and work that magical way where we get leverage on the bottom-line.
Dan Hollenbach: Well, as we mentioned, we certainly are looking at next year and then seeing expansion in the bottom EBITDA percent Michael. Okay. All right. Thank you very much. And we'll talk offline. 
Operator: Our next question comes from the line of Darrell Davis, an Investor.
Unidentified Analyst: Hey, Beth, and Dan, way to go on a successful 2022. Dan, congratulations on your next step personally, your role at BGSF has been critical for me. When assess management, the first quality I look at is integrity. And if you have that serve, so thank you very much. And I wish you the best. And hopefully you'll stick around longer than a year in that transition. Speak of the transition, the news release for Dan, I think it was described the change was part of a transition plan. I think, I missed that. Where's that plan?
Beth Garvey: Dan, do you want to address this?
Dan Hollenbach: I'm sorry. [indiscernible].
Beth Garvey: I don't know that it was published. We've been doing succession planning. For a while we always try to think about, where leaders are and succession planning so that we are prepared. So Dan has been open and saying that when he wanted to retire, and I've known for a couple years when he wanted to retire. And so we talked with the board and decided to go ahead and push forward in having the CFO search, so that we would have long enough time to have the transition before Dan decided to that, it would be his last day. So we worked backward on it. But we've known for a couple of years that what his timeline was.
Unidentified Analyst: In your opening remarks, you mentioned the write down for 2023. Can you specify what has been written down?
Dan Hollenbach: That we're going to write down this year? Yes. So when we bought the companies we allocate the purchase price to various things, primarily the customer list and the trade name that we're going to use so that $22.5 million are values that we've assigned to trade names over the last 7 or 8 or 9 acquisitions on the IP side. So the decision is [indiscernible] on smart all those.
Unidentified Analyst : Basically the trade into the past, past 7, 8 or 9 acquisitions. And by the way, I'm a fan of the single brand. I don't know if I'm right or wrong in that attitude, but I'm a fan of the single brand. I think this may have been, the next question I think has been answered in a release a few months ago. What were the revenues for Horn for 2022?
Dan Hollenbach: They're about a $30 million company.
Unidentified Analyst : And then, finally, best use the annual question, looking back at 2022. Key names, what are some of the actions that you'll make that were good and one where some of the actions you'll make that we're not?
Beth Garvey: And we had so many good things, Darrell, I mean, the fact that we go in live on our technology, that was a 3 year journey that took us a little bit longer, because you threw in a pandemic in the middle of it. But the fact that the whole company has all new technology, and then it's all live right now. And that is a major accomplishment for us. So I would say that was a great thing. I'd say with the Horn acquisition was also a great thing. As far as when the bad things, I mean let's call it fourth quarters SG&A was a little bit of a hit. But we understand it we know what we know what happened. And we'll adjust for that going forward. And I think other than that, I think we've had, I think I'm very, very proud of our team and what we accomplished over the past year. I think we did a lot of revenue growth, GDP growth, while we went live on the system. And I think that that shows so much about our team and the people that BGSF. 
Unidentified Analyst : Thank you for that, personally, obviously, the SG&A for the Q4 jumps off the page. But also what jumps off the page is the revenue growth. You had gone out of your way to set expectations low from Q4, especially in real estate because of the pent-up demand that you experienced in 2021, Q4. And I'm not looking at the numbers, but it was an impressive comp year-over-year. I guess it does that compliment has a question embedded in it. So I'll just go ahead and make explicit. Was that Q4 that we just finished. The 2022 Q4, is there still pent-up demand from these moratoriums? Are we done with? I mean, let's say if we're 1%, 2%, or 3%, let's call that we done. Is there any real pent-up demand still?
Beth Garvey: I think it's mostly on the commercial side right now. I think the real estate multifamily side is doing is back. But I would say that the commercial side with offices still, there's this back to work discussion is still happening on a daily basis with companies and I think that once that all shakes out that will help us but I think that's definitely still out there.
Operator: Thank you. As there are no additional questions waiting at this time, I'll pass the conference back over to Beth Garvey for closing remarks.
Beth Garvey : Thank you, Candace. Thank you for your time today and we appreciate your continued support. We look forward to updating you on our first quarter results in a couple months. Have a great day.
Operator: Ladies and gentlemen, that concludes today's BGSF fourth quarter 2022 earnings conference call and webcast. Have a great day ahead. You may now disconnect your lines.